Operator: Good morning. My name is Gigi, and I will be your conference operator today. At this time I would like to welcome everyone to GasLog Partners First Quarter 2019 Results Conference Call. [Operator Instructions]. As a reminder, this conference call is being recorded. Today's speakers are Andy Orekar, Chief Executive Officer; Alastair Maxwell, Chief Financial Officer; and to commence the call, Joseph Nelson, Deputy Head of Investor Relations. Mr. Nelson, you may begin your conference.
Joseph Nelson: Good morning, and thank you for joining GasLog Partners First Quarter 2019 Earnings Conference Call. For your convenience, this call, webcast and presentation are available on the Investor Relations section of our website, www.GasLogMLP.com, where a replay will also be available. Please now turn to Slide 2 of the presentation. Many of our remarks contain forward-looking statements. For factors that could cause actual results to differ materially from these forward-looking statements, please refer to our first quarter earnings press release. In addition, some of our remarks contain non-GAAP financial measures as defined by the SEC. A reconciliation of these is included in the appendix of this presentation. I will hand over to Andy Orekar, CEO of GasLog Partners.
Andrew Orekar: Thank you, Joe. Good morning, and thanks to everyone for joining GasLog Partners First Quarter Earnings Call. I'll begin today's call with our highlights for the quarter. Our CFO, Alastair Maxwell, will follow with a review of our financial performance and drop-down pipeline, after which I'll conclude with an update on the LNG and LNG shipping markets as well as our distribution growth outlook. Following our presentation we'd be very happy to take any questions you may have. Turning to Slide 3, you can see that GasLog Partners is well-positioned to continue executing on our strategy. We have now completed 12 vessel acquisitions, which has delivered consistent and growing EBITDA since our IPO 5 years ago. We have a further 13 vessels in our dropdown pipeline at our parent, which represents $280 million of additional EBITDA and highly-visible future growth for the partnership. Our ability to source attractively-priced debt and equity capital has been proven across several market cycles, and was further evidenced by our recent successful refinancing. We expect to continue rewarding our unitholders with cash distributions while our buyback program provides an additional source of capital return. And lastly, we believe the LNG shipping market is poised to rebound, and improving structural fundamentals will create opportunities for us to re-charter our ships on attractive terms. Turning to Slide 4, you can see our highlights for the first quarter. Following strong operating performance and continued fleet growth, I am delighted to report another solid quarter of financial results with double-digit increases in revenues and EBITDA. We declared a distribution of $0.55 for the first quarter, or $2.20 on annualized basis, unchanged from the fourth quarter and an increase of 3.8% over the first quarter of 2018. We announced, and earlier this month completed, the accretive dropdown acquisition of the GasLog Glasgow. In addition, we entered into a new 5-year credit facility which provides $90 million of incremental liquidity and pushes out our nearest debt maturity until Q2 of 2021. Our dropdown pipeline increased as our parent chartered its two uncommitted new builds to counterparties for 8 and 12 years respectively. And today we are reiterating our guidance of 2% to 4% distribution growth for 2019. Turning now to Slide 5 where I'll discuss our most recent vessel acquisition. Earlier this month we closed the acquisition of the GasLog Glasgow, our third accretive dropdown in the past 12 months. The purchase price was $214 million which was funded primarily with proceeds from last November's preferred equity offering plus the assumption of the vessel's existing debt. The GasLog Glasgow is a 2016-built, 174,000-cubic-meter vessel with TFD propulsion and is operating under charter to Shell through June 2026. We estimate the charter will generate $23.5 million in EBITDA over the next 12 months. The acquisition is our first since modifying our incentive distribution rights in 2018 which resulted in improved accretion to our distributable cash flow per unit. In addition, the 7-year time charter extends our average remaining charter duration and increases our contracted days to 95% in 2019 and 74% in 2020. As you can see from the charts on the right, the addition of this vessel would have a meaningful pro forma impact on our results, increasing EBITDA by 11% and our distributable cash flow by 10%, and would have increased our distribution coverage ratio to 1.13 times for the first quarter With that as introduction, I'll now turn it over to Alastair to take you through our financials.
Alastair Maxwell: Thanks, Andy. Good morning to everyone. I'm delighted to report another strong quarter in terms of the operational and financial performance of the partnership. Please turn to slide 6 for our financial and operational highlights. In the first quarter of 2019 we achieved growing quarterly partnership performance results for revenues and EBITDA. We showed solid year-over-year increases of 12% and 13% respectively, due to our two vessel acquisitions in 2018, both of which were also accretive to our distributable cash flow and to our distributions per unit. Operationally, our fleet continues to perform exceptionally well, with uptime of 100% during the quarter and unit OpEx of $14,630 per vessel per day compared to $15,748 in the same quarter last year, a decline of over 7%. This is partly due to favorable FX effects, but also to savings in technical maintenance and in other expenses including tax. As you can see in the bottom row of the table, our distribution coverage for the first quarter was 1.03 times, which clearly does not include any contribution from the GasLog Glasgow, which the partnership acquired at the beginning of the second quarter. As Andy noted previously, assuming the GasLog Glasgow had been in our fleet for all of Q1, our distribution coverage ratio would have been 1.13 times on a pro forma basis. Looking forward, we have two scheduled dry-dockings this year, one in the second quarter and one in the fourth quarter, both of which are anticipated to take 30 days to complete. Turning to Slide 7 and the financial position of the partnership, as you can see our net leverage at quarter-end is still modest at 45% of total cap, and our reported net debt-to-EBITDA is 4.4 times. Both metrics are broadly in line with the previous quarter. On the bottom chart, you can see the partnership's scheduled amortization and debt maturity through 2021. Our debt amortizes at roughly twice the rate our sips depreciate, building equity value and balance sheet capacity. During 2019 and 2020, we expect amortized debt equivalent to almost 1 times EBITDA and 9% of total cap. On Slide 8 you can see the partnership's current available liquidity as well as the highlights of our recent refinancing. As the chart on the top shows, the partnership has approximately $170 million of available liquidity after adjusting for the acquisition of the GasLog Glasgow. Our RCF capacity increased by $90 million in February when we signed and completed the new 2019 GasLog Partners facility for $450 million, replacing our existing facility which was due to mature in November of this year, and taking our total available RCF capacity to $146 million. The new facility matures in 2024 and has significantly more favorable covenants as well as the spread of 200 to 220 basis points over LIBOR, approximately 50 basis points lower than the previous facility. In addition, the loan syndicate includes two leading Japanese banks, making GasLog Partners one of the few shipping companies outside of Japan with access to the Japanese bank market and underpinning our creditworthiness and cost of capital advantage. Taken together, our liquidity, balance sheet capacity and potential access to both public and private capital markets leave us well-positioned to fund future growth. Turning to Slide 9 where I'll discuss our recent fleet developments. The chart on this slide shows the 15 vessels comprising the partnership's fleet, including the GasLog Glasgow which we acquired earlier this month. The acquisition of the Glasgow positions the partnership to meet its distribution guidance for the year, without the need for additional dropdowns. However, we do expect to continue to acquire assets from our parent at our historic pace of some two vessels per year. On Slide 10 we discuss how the GasLog Glasgow has contributed positively to the de-risking of our future financial performance. On the left chart, you can see that our pro forma contracted backlog at the end of Q1 2019 has increased to nearly $1.2 billion, from $895 million at the end of Q1 2018, as a result of our two acquisitions in 2018 and the acquisition of the GasLog Glasgow on April 1 of this year, as well as the re-chartering of the GasLog Santiago, the GasLog Sydney and one of our steam vessels. On the right-hand chart, you can see that our pro forma charter coverage for 2019 has increased to 91% from 81%, while our coverage for 2020 has risen to 74% from 62%. Turning to Slide 11 where I'll discuss our future growth opportunities. The top panel shows the 13 vessels and multi-year charters owned by our parent. You will now that this now includes two previously uncommitted vessels, both of which were charters for multiple years on attractive terms with new customers. GasLog Warsaw was partnered for 8 years to Spanish utility Endesa beginning in May 2021, while Hull number 2274 was chartered for 12 years to Japanese utility Jera, one of the largest buyers of LNG globally. Together, the charter periods in the top chart range from 2025 to 2032 and represent over $2.8 billion in contracted backlog and approximately $280 million in total annual EBITDA, with an average charter duration of approximately 8 years. These vessels provide visible future growth opportunities for GasLog Partners, and will contribute positively to the average charter length of our fleet as well as to our distributable cash flows. With that, I'll turn it back to Andy to discuss the outlook for the LNG commodity and LNG shipping markets.
Andrew Orekar: Thank you, Alastair. Turning to Slide 12, and trends in LNG demand. This slide shows the increase in LNG imports by country on a trailing 12-month basis. LNG demand grew by 31 million tonnes year-over-year, an increase of 10%. China posted the largest increase in absolute volumes, importing over 13 million tonnes more LNG, or an increase of approximately 31% year-on-year. While Chinese demand remains strong, LNG growth has been broad-based, particularly in Europe, as demand from France, the UK, Netherlands and Belgium grew by approximately 14 million tonnes over the period, nearly doubling their imports. Turning to Slide 13 and the future outlook for LNG demand by geographic region. In total, Wood Mackenzie expects net LNG demand to grow by nearly 150 million tonnes between 2018 and 2025. Although China's imports have been significant in recent years, it is important to note that Southeast Asia and Europe together account for nearly 70% of the projected LNG demand growth through 2025. Turning to Slide 14, which shows the new LNG supply coming online. This year, over 30 million tonnes of new LNG capacity is planned to begin production including initial trains at large projects such as Cameron and Freeport which are expected to have a significant impact on tonne-miles as more gas is exported from the U.S. In particular, Cameron has recently begun feed gas flow at the project's first train, and LNG production is also expected imminently from Prelude, Elba, and the second train of Corpus Christi. Further ahead, there's approximately 58 million tonnes of new capacity scheduled to start production in 2020 through 2024, including the first two trains of Shell's LNG Canada project as well as Exxon Mobil and Qatar Petroleum's Golden Pass facility which took FID earlier this year. In addition, Wood Mackenzie expects an additional 50 million tonnes of LNG capacity to reach FID later this year. On Slide 15, we discuss how U.S. exports have positively impacted shipping demand. According to Potent, 110 cargoes were exported from the U.S. in the first quarter. 44% of these cargoes in line with the contracted offtake, delivered into North Asia, a destination that requires more than two ships per each million tonnes of LNG exported per annum. This comes despite there being a limited gas price arbitrage between the Atlantic and Pacific basins during the first quarter. Since exports out of the U.S. began in 2016, 1.8 ships have been required for each million tonnes per annum, a positive development for shipping demand, particularly in light of the significant amount of new liquefaction capacity scheduled to come online in the U.S. over the next 24 months, again approximately half of which has been sold on a multi-year basis to Asian buyers. On Slide 16, we discuss how the demand for LNG impacts the supply and demand balance for LNG carriers. This slide illustrates our view of shipping supply and demand through the end of 2022, based on Wood Mackenzie and Potent data. It takes between 2.5 to 3 years to build an LNG carrier, meaning a vessel ordered today likely won't deliver until 2022, giving us a visible outlook on the supply of carriers over the next several years. As you can see, the market is expected to be tight through at least 2021, based on Wood Mackenzie's latest LNG demand growth estimates and the on-the-water fleet plus order book. Turning to Slide 17, where we look at recent spot market developments. The gray line shows the weekly average headline spot rates for TFD carriers since January of 2017, while the blue line shows the number of immediately-available ships in the spot market. As you can see, there is a natural and inverse relationship where spot rates tend to rise as shipping availability declines. In addition, you can see that over the last two years, following the seasonally-weak period of late winter and early spring, the number of available prompt ships in the spot market has declined even when accounting for annual growth in the global LNG shipping fleet. Importantly at present, fewer ships need to be removed from the spot market at this point in the year relative to previous years in order to tighten capacity. As the dotted green circle indicates, as available prompt shipping capacity has declined in recent weeks, spot rates for LNG carriers have stabilized in response. On Slide 18 we discuss the seasonality in the LNG shipping market. The left panel shows the monthly average headline spot rates for TFDE carriers during 2018 and 2019, while the right pane shows the monthly average from the period beginning in 2011 through 2018. While the absolute values may differ from the historical monthly averages, the trend in 2018 and 2019 has closely followed previously-observed seasonal patterns with headline spot rates generally bottoming in early spring and peaking in the fourth quarter. There have been a number of factors that exacerbated the usual seasonality so far this year, including pre-buying ahead of last winter by Chinese end users, a warmer-than-average winter in Asia, unplanned downtime at several LNG export terminals, and the majority of new vessel deliveries occurring in the first half of 2019, as only one uncommitted vessel delivery remains between now and year-end. Taken together, these dynamics significantly reduce spot rates from the record highs we observed in Q4 of 2018. However, as the historical data on the chart suggests, we believe the market is poised to return to higher LNG shipping activity levels and stronger spot rates in the second half of 2019 as we move into the cooling season in the northern hemisphere and new, large LNG progress enter production. As a reminder, the partnership's exposure to the spot market is limited to one vessel, the GasLog Shanghai. While we anticipate the GasLog Shanghai's contribution to our results to remain clearly below mid-cycle in the second quarter, we anticipate a structurally-improving LNG shipping market should create opportunities to find multi-year employment for this vessel in line with our strategy. Slide 19 and a discussion of recent developments in the multi-year chartering market. As this slide shows, periods of strength and weakness in the spot market have historically influenced activity for multi-year charters. Last year was no exception, as a record number of charters greater than 6 months were reported while spot rates for LNG carriers set all-time highs. More recently, 12 charters between 6 months and 7 years in duration were reported in Q1, despite the spot rate weakness I discussed on the previous slide. As Alastair mentioned, last year we utilized the strength of the spot market to fix two of our TFDEs for multiple years as well as one of our steam ships. We anticipate similar opportunities to re-charter our ships on attractive terms as the LNG carrier market improves during 2019 and 2020. Turning to Slide 20 and a recap of our growth history and distribution guidance. Today we are declaring our first quarter distribution of $0.55 per unit or $2.20 annualized, which represents an approximately 3.8% increase on a year-on-year basis. As shown on the far-right panel of the slide, we are reiterating our guidance of 2% to 4% year-on-year distribution growth for 2019. This guidance is supported by our recently-completed accretive acquisitions and positive outlook for the LNG shipping market, also reflecting our drydocking schedule for the year and one vessel coming off-charter in the fourth quarter. In addition, our $25 million buyback program diversifies our means of returning capital to investors and underscores our focus on total unitholder returns. Now turning to Slide 21, in summary, in the first quarter the partnership continued to execute its strategy, closing our 12th acquisition since IPO, refinancing our nearest debt maturity at a lower cost, and improving our liquidity. These developments have considerably strengthened the GasLog Partners platform. With the GasLog Glasgow acquisition now closed, we reiterate our target to deliver 2% to 4% distribution growth for 2019 while maintaining prudent coverage and opportunistically repurchasing common units. Our ability to source attractively-priced debt and equity capital remains strong and our 13-vessel dropdown pipeline represents highly-visible future growth for the partnership. Finally, looking longer-term, steady progress of new liquefaction and increasing LNG demand should result in strong fundamentals for LNG shipping and create additional opportunities to re-charter our ships. With that, I'd like to now turn it over for Q&A. Operator, could you please now open the call for any questions?
Operator: [Operator Instructions]. Our first question is from Jon Chappell from Evercore ISI.
Jonathan Chappell: First question, a lot of the last couple points you made I think were incredibly relevant about chartering in a better market backdrop, if you will. So Shanghai probably not so much of a concern, modern ship, TFDE, probably finds a charter if the market reacts the way that you and I expect. But maybe the bigger overhang right now is the Rita Andrea and the Shirley Elisabeth, two steam ships coming up in about 12 months' time, maybe 12 to 15 months' time. So any data you could provide on the chartering ability of the steam ships relative to the TFDEs, whether it's -- that chart that you showed at the end in a better market backdrop? Or whether it's just inquiries you're having right now with customers regarding kind of the next 2-to-3-year outlook? And then a second part to that is -- is there an alternative, then, to those ships if the chartering market isn't supportive?
Andrew Orekar: Sure. Good question, John, so I'll give you a couple thoughts on that. I think in the first instance, as you mentioned, the steam ship expiries are still some time from now, and so we think that the overall improving structural dynamics of the market will help re-chartering of all of our ships, steam ships included. I would tell you that being that as it may, we have already received inquiry for term business for those ships and are really balancing the rate and term that can be achieved today with what, in fact, we believe to be stronger conditions that are -- that are not too far over the horizon. So in our view, the overall strength of the market and the positioning of the ships as -- as, candidly, modern steams that are much younger than others in the market, helps them -- helps them quite significantly. One just data point I'd share with you is, we talk about a number of contracted days and how our re-chartering and dropdown acquisitions manage that. On just a contracted-days basis, even in 2020, only 15% of our currently-open days are represented by steam ships. And of course that number will only decrease as we do more re-chartering and more acquisitions. So it's a -- it's a relatively small impact, no impact this year essentially, very little impact in '20 and then as I said, a much stronger market ahead in '21. So we feel confident about our ability to re-charter those ships and we, as I said, are now balancing how -- how is the right term and rate balance to achieve at this relatively early stage of the market recovery.
Jonathan Chappell: Second question, sticking to the same slide, you said no additional dropdowns required to keep your growth rate guidance for this year, which is great and we'd agree with that. But just wondering, with the units trading where they are right now, and yield where it is right now, one can argue that you're not getting paid for any growth whatsoever. So given the fact that maybe there's a very -- there's a very rich pipeline of dropdowns from the parent company, but the equity may be a bit prohibitive today even though you don't really need it today. Have you thought about maybe just revising the growth ratings down to basically no growth? Because it feels like distribution coverage is far more important than growth in today's market.
Andrew Orekar: Sure. No, we haven't thought about revising it down to no growth, because as you say, John, we feel highly confident in meeting the guidance we've given, particularly with the Glasgow acquisition now closed. I would agree with you that in terms of where the yield is and the unit price, we're a long way from where we would be thinking about issuing common equity, that's for sure. And what Alastair and I like about the buyback program is that it's highly-accretive at current unit price levels and of course for every unit you buy back, at the same distribution you're improving the coverage ratio. And so for us, if I had to choose between another dollar of distribution or a dollar of buyback, over and above our current guidance, I would pick the dollar of buyback every day at this point. So for us, I think that's going to be a useful tool for the coverage ratio and as you say, I think it's -- I think it's hard to argue we're getting credit for the growth we're delivering, but I think -- we do think it's important as an MLP to have a distribution that is growing. And that number, in our minds, needs to be greater than zero. But whether it's 2% or 4% I think will remain to be seen on how we're trading and how that growth is being rewarded in the value of the unit price.
Operator: Our next question is from Greg Lewis from BTIG.
Gregory Lewis: Real quick, Andy, you mentioned the Shanghai. It's out there, it's trading in the spot market. Obviously you're going to look to be opportunistic in putting that vessel on long-term contract. You kind of detailed some of the charters, I guess, on that Slide 19, you detailed some of the term charter work. Is there any way to break down how much of that term charter, if we were to look at maybe, I don't know, whatever say '18 or the last couple quarters, is there any way to look at that mix between what actually went to new builds and what actually went to vessels on the water?
Andrew Orekar: Most of what that chart showed, Greg, was on-the-water vessels. and you know, in our -- in our experience over the past year as Alastair mentioned in his remarks, we did a 3-1/2-year charter of a TFDE to Trafigura last spring, and then early summer we did an 18-month deal at a higher rate to Cheniere. And so I think for the on-the-water ships, generally speaking, that's not a bad range of term that most of our customers are looking at. There are some examples that are -- that are active today that are in fact longer than that, but I think generally speaking, that kind of 18-month, 1 year, 18 months to kind of 3-1/2 years is -- is the range for the on-the-water-ships that most of our customer discussions tend to center around.
Gregory Lewis: And then just because as we think about the coverage ratio going forward, and just obviously a lot of moving parts, when we think about the steam ships, clearly those are on some legacy contracts that were pretty good rates. Is there any sort of way we should be thinking about where the market is for -- and you mentioned in your -- to Jonathan's question about balancing the term and the rate. Is there any kind of way we should be thinking about where the market is for those types of vessels on term work? Maybe like a percentage down?
Andrew Orekar: You know, I think -- yes. I mean, I think clearly it's fair to say that if you were doing a term deal for a steam ship starting today it would be at a lower rate than where the current rates are for our steams. But again, we're in a period of the market where clearly there's more leverage on the charterer's side than the owner's side at this moment in time, and we think that will balance out as we move into the second half of 2019. So I think at or around the long-term mid-cycle averages for TFDEs and steams, I think is generally fair for multi-year deals as we think about signing up to that kind of business. I think if you were to try to do a deal today it would be below those numbers. And so we're hoping for a stronger market to have a bit more leverage in those types of discussions.
Alastair Maxwell: Hey, Greg, it's Alastair. The only other thing I'd answer that -- the other answer to that is, obviously the break-evens on those steam ships come down over time in terms of the total cash break evens and the distributable cash flow break evens as the leverage on the ships reduces. So that's helpful too.
Operator: Our next question is from Michael Webber for Wells Fargo.
Michael Webber: Just a technical question first. Just around the rolls when you think about 2019 and maybe 2020, and the steams that are rolling in '19 and 2020, it's kind of been there in front of everybody for a couple years now, so none of it is catching anybody by surprise. The stuff that rolls in 2020 that has options on it, the Cheniere, and I believe Shell and Trafi. Can you remind us of how early do they need to let you know whether they'll pick those up, and does that act as a bit of a kind of a starting gun for you guys to think about re-let work on those? Or can you enter into discussions before they would exercise that, if you get a strong indication one way or the other?
Andrew Orekar: Sure. So generally, our notice periods are anywhere from 6 months to 18 months. We've had a few that are as long as 2 years, but I believe most of those -- those options have passed. So you're right, it is a bit early for us to be marketing them to other parties. If, given the depth of customer relations that the GasLog group has and given the scale of some of our customers who have very significant fleets, people like Cheniere who have a very active steam program in their fleet, we as you can probably imagine, are in discussions about a variety of ships at both companies on a regular basis. But it is fair to say it is a bit early for us on particularly the [Technical Difficulty] there in the -- in 2020 and beyond.
Michael Webber: Yes, we've all been kind of staring at the same chart for a couple years now so it's just a good refresher. In terms of steam, and this is a bit of a dichotomy in the market where you've got spot tonnage demanding pretty significant premiums in AB even today, but then you've got maybe steams that would -- that are set to roll or you're in a position where you're trying to find long-term contracts on something that's maybe middle-aged. And it seems like there's a spot for those, there's a market for those that might be maybe more efficient, maybe outside of an MLP structure. I know in the past, I think 2017, 2016, when the market was weaker and we were talking about contingencies, swapping assets with the parent was something that was talked about often and I think that they were pretty positively-inclined towards doing whatever they could to support the daughter. Considering that there's probably some pretty healthy employment available for those steams in 2020, this might not have the kind of term on it that you would want for the MLP. Do you think the parent is there to support the daughter in terms of swaps? Swapping out assets? It's probably too early to talk about that, but this just feels like it's pertinent to bring up.
Alastair Maxwell: I wouldn't rule anything out at this stage. I think that again, answered this question a number of times on previous calls, and I think that those kind of options are definitely there and I would agree that some of the very early signs that we're seeing of changes in the contracting market for both LNG and for ships where you're seeing LNG now being indexed to coal prices, indexed to JKN, and you're seeing one or two indications of charter rates for ships being indexed to other benchmarks, other reference points. So I would agree with you that if those kinds of things materialize, might those kind of contractual arrangements sit better at GasLog World and GasLog Partners, wouldn't disagree with that. But I think where we are today as Andy said, a number of conversations ongoing despite the fact that it's really quite early, our first availability of a steam ship is at the very end of this year. And the next availability isn't until the middle of next year. So I wouldn't rule any of that out but I think for the time being we're focusing on term re-chartering opportunities within the partnership.
Andrew Orekar: And I just share, Michael, that given our relatively low leverage, our steam ships as well carry very little debt on them. And so as Alastair mentioned, the break-evens come down quite a bit and have already. And so there's quite a bit of cash flow potential even at headline rates that maybe don't sound like huge numbers when you actually look at it on a vessel-by-vessel basis. They can generate quite a bit of cash flow in the strong market we're expecting. So we think we've got sort of all of the above at our disposal here underpinned by improving structural dynamics in the carrier market.
Michael Webber: Right, I appreciate that. Rates roll over for one quarter and we've all got to break out the greatest hits in terms of questions, so I appreciate you swinging at it again. Andy, you just mentioned the leverage, and that it seems like that now, even more so than coverage, tends to be the focal point especially when you see some of the larger players in the LNG space. It seems like there's going to be a continued focus in terms of de-levering, just across the board. When we think about you guys at 44% or 45% net debt-to-cap, where do you think that target ends up over the next couple years? Is there -- are you kind of at it around your optimum level, or do you think you can of push that lower? It might be difficult as you're swapping in. The parent has had a really successful run of locking in a lot of really attractive long-term rates, and attractive assets that aren't particularly cheap. So do you think you can push that lower, or are you happy just kind of keeping it under 50%?
Alastair Maxwell: So I think that as I said in my prepared remarks, the rate at which we amortize our debt is kind of roughly half a turn of EBITDA per year. I think that we feel very comfortable with where the leverage is today, balanced against the charter cover and the charter portfolio. I suppose -- but it's not our intention to significantly re-lever the business. But given the financial profile that we have today, the rate of amortization and the number of inbounds that we're receiving for quite interesting gas opportunities in the private and the public capital markets, I think what I can say is I feel pretty comfortable. Do I think I can finance one more dropdown using debt? I feel pretty comfortable saying that that's not an issue at all. So I don't have a hard target. It will naturally continue to de-lever. But we will look to use the balance sheet capacity that we're creating over time, particularly given where the units are trading today. As Andy said, very unlikely to issue units at these levels and definitely feel like we're getting paid for the natural addition and growth of the business.
Operator: Our next question is from Chris Wetherbee from Citigroup.
James Monigan: James on for Chris. Wanted to touch on Slide 18 and sort of go through how this year is shaping -- or how sort of the forward look for this year is shaping up in terms of last year, given how strong last year was even though there was a mild winter, and what you might see in the market that could cause you to fix the Shanghai on the longer-term contract, given those dynamics?
Andrew Orekar: Sure, sorry. I didn't quite catch the question there.
James Monigan: So on Slide 18 you depict the large uptick last year. Essentially how, what is your view for sort of those dynamics this year, and if you might see some -- a reasonable order spike that resembles that? And then if you do see a spike or trending that way would you essentially fix the Shanghai or would it be something that you'd actually want to sort of capitalize on and fix on the other side of that swing?
Andrew Orekar: So a few questions, of course, we're not capable of predicting the spot rate any better than you are. But if you consider some of the dynamics that are occurring over the balance of '19, you've got over 30 million tonnes of new liquefaction hitting the market. Roughly 25 of that is going to be here in the states. And to put that in context, that'll roughly double the amount of gas we're exporting from the states from where we are at sort of Christmas time last year. So a very significant increase in liquefaction in the right part of the globe. Secondly, the number of ships delivering this year largely have contracts and there's only one ship to go in the year that's delivering without a contract. And so the supply picture is -- is reasonably clear as well as some project ships that have been depressing the spot market are likely to be going back to their homes, and won't have that impact as we head into the run-up to next winter. So I think there's many, many reasons to be bullish on '19 and again, the exact magnitude of the increases is hard to say. But as our previous experience shows, as the rates start moving, the ability to do multi-month and importantly for the MLP, multi-year deals increases. And we were successful in this regard last year, and hope to do the same with the Shanghai this year. It's nice to earn high spot earnings with that ship but again, our strategy is to take multi-year coverage at rates that are sensible, so that's our plan.
James Monigan: Got it. So if there were, in terms of the timing around a possible fixture probably would be more or less when there's seasonal strength, just as a reality of when it makes the most sense and when people are the most interested? Or is that sort of the wrong way to think about that?
Andrew Orekar: No. I think that generally sums it up. Whether that happens in the second quarter, third quarter or fourth quarter remains to be seen based on the discussions we're having with customers, but that -- the backdrop improving will certainly help us in that regard.
Operator: Our next question is from Randy Giveans from Jefferies.
Randall Giveans: Following up on the spot rate question, obviously we're expecting strength throughout 2019 as you've alluded to for a variety of reasons. It looks like the GasLog Shanghai earned about 40,000 a day in 1Q '19. So what is your guidance here on 2Q? What kind of rates are the kind of Cool Pool of the Shanghai currently earning? Is it employed? Just giving some 2Q guidance on that number?
Andrew Orekar: Sure. Well, just to say, Randy, we don't formally provide spot rate guidance, just to make that clear. And so it's awfully early to talk about Q2 given we're only one month into it. I think the dynamics that we've discussed in our prepared remarks show the market is generally bottoming in this late spring period, March, April. So I think we expect Q2 to be clearly below mid-cycle rates, which is something that we had discussed at Q1 as well. But we certainly see a stronger second half of '19 and expect Q3 to be stronger than Q2, and Q4 to be stronger than Q3.
Randall Giveans: And then assuming the 2% to 4% distribution growth includes another dropdown later this year, and looking at your liquidity profile on Page 8, is it fair to assume you have enough liquidity in place for another one, possibly two dropdowns without having to raise any additional capital?
Andrew Orekar: Just to correct you a bit on that, Randy, we do not feel that we need to do another dropdown to meet the 2% to 4% guidance. However, as has kind of been discussed in the Q&A portion of this call, it feels to us that in some ways coverage is being valued at a premium to growth. And as Alastair mentioned, we feel we have access to multiple sources of capital and expect that we will do more dropdowns this year, but don't need to, to meet that guidance.
Alastair Maxwell: Randy, just to be clear, I think the available liquidity is -- sort of all the availability liquidity alike for the business -- and clearly we always want to run the company in a prudent way with some capacity available to us. And so I think that in order to do the next dropdown, we will need to raise some incremental capital. But as I said, I think we've got lots of options to do that, and are getting a number of inbound proposals not including common equity.
Randall Giveans: And I guess just following up on that, during the quarter you increased your ATM program, authorized a unit repurchase program. So how do you kind of balance those two? Are there unit price ranges in which you would certainly issue new units versus certainly repurchase units?
Andrew Orekar: Sure. So just to clarify, we had used quite a bit of the availability under the original ATM, which was $144 million. We increased the size to $250 million of which about $125 million is remaining. So that was -- I would put that in the category of kind of housekeeping, to have that available to us. And it was very effective for us in '17 and '18. During the quarter, we didn't issue a single share, and as I mentioned, don't expect to do anywhere near these levels. I think when we look at -- I'm sure everyone on the call has their own views of valuation but if you look at where we're trading today, and on an EBITDA multiple somewhere in the 8s and P at 10 or 11 and yield of 10-1/2, 11, I mean, kind of the list goes on and on of ways in which we look undervalued. And so I think our priority around doing anything on the common units right now is buying back rather than issuing.
Operator: [Operator Instructions]. Our next question is from Donald McLee from Berenberg.
Donald McLee: So, two-part question following up on a lot of the distribution questions earlier in the call. While you've reiterated that no additional dropdowns are required to meet guidance, how much of a factor is securing long-term charters on your current upcoming spot exposure? And then two, how do you think about balancing that distribution coverage and growth beyond 2019, if the anticipated improvement in the charter market ends up happening maybe a quarter or two later than expected?
Andrew Orekar: So just taking your first question, we as a strategy point always like to be dropping down vessels that increase our average remaining charter duration. And look at the balance, what years we have exposures, particularly as we go out several years into the future when market conditions are a little bit harder to predict for re-chartering. So I think we'll -- we've done that and we'll continue to do that. And the good news is that our parent who we've got 13 ships with extremely long charter life including the two new deals that were done here recently of 8 and 12 years, which are quite substantial. Your second question, just want to make sure I'm clear. Is it, do we wait and carry more spot exposure because the spot market is strong before we choose to term out, Donald? Is that kind of the crux of it?
Donald McLee: Well, it's more so just how much of a factor are those? So you kind of have the growth in place to get the distribution hike done this year, but it's more just trying to figure out how much of a factor those upcoming spot exposure plays into that as well. Is it -- maybe if the market is softer than expected, the back half of this year, then you do need to drop down an additional vessel? Or is it, you still get it done this year and then maybe next year that impacts the level of growth that's possible because you still have that spot exposure?
Andrew Orekar: I see. Yes. Well, I think picking up on things we've discussed already, the premium on coverage seems to be quite high these days. And so because we have, even though we don't like our common yield, we feel we have other sources of capital continuing to dropdown assets, clearly only improves the coverage in the near- and medium-term. I think the growth in the distribution that we said, is something that we clearly evaluate on a yearly basis. We've had a track record of doing that. We've intentionally moderated it for the reasons that the market simply hasn't provided the value and the unit price. So it's hard for me to comment on '20. I hope we're in an environment where growth is being rewarded a bit more because we have so much of it. We've got $260 million-odd run rate EBITDA at the MLP and $280 million in our dropdown pipeline, so we've got the ability to essentially double the scale of the MLP. But again, we'll only do that if the unit price reflects it, and more growth is clearly being rewarded. In the meantime taking a bit of capital out of the business on the equity side seems to be the way to generate the most value per unit, so that's our focus here in the second quarter.
Donald McLee: Okay. And then I take that as an allusion to maybe the buyback. Could you talk about if the level of buyback activity has picked up at all since the end of Q1, and maybe if the refinancing negotiations play any role in the lack of Q1 buybacks, or whether maybe any other factor that you guys are considering?
Andrew Orekar: Sure. So we've been in blackout since our quarter ended, and until today. So there hasn't been any repurchase activity from the partnership. We put the authority in place in the first quarter, but of course we had in mind a first priority of growing our assets and using our liquidity to complete the Glasgow dropdown acquisition. Happily, that's behind us and funded. And so we -- the refinancing didn't play into the buyback, but it was really making a first priority of growing our assets, and now that that's done, given the ample liquidity Alastair discussed, we expect to be buying back units in the second quarter.
Operator: Our next question is from Chris Snyder from Deutsche Bank.
Christopher Snyder: So LNG commodity prices have been pretty weak so far in 2019, and as you guys kind of outline supply through the rest of the year as ramping pretty aggressively which could further weigh on pricing, obviously you guys ship volumes so this should be welcomed. But how do you think about that in the context of how soft pricing can weigh on trading and arbitrage opportunities, as we've seen so far in 2019?
Alastair Maxwell: So I think that clearly a lack of arbitrage between Atlantic and Pacific basins is -- we'd like to see that arbitrage, and it's helpful in terms of demand for LNG shipping. But a couple of reflections on gas pricing, generally around the world -- and I think the first thing is, there have been some pressures on JKN in particular as a result of the winter weather that Andy talked about high inventory levels through the winter. And I think that that is -- that weighed on prices during the latter half of the first quarter. We've seen some recovery since then as people look forward to summer pooling load, and it's been welcome to see that recovery. But I think the other factor which we pointed out in our remarks as well on LNG pricing is the demand pull from Europe, and we saw a period of time where European gas prices were above Asian gas prices. And I -- you know, we believe that that's a manifestation of a number of underlying drivers of demand in Europe which are going to persist through time and underpin the message that we think demand growth is broad-based as we look forward from here. But at the same time, you see LNG continues to move from the U.S. into Asia. Even JKN prices in the high 4s, low 5s, those are still above the marginal cost of producing gas in the U.S. and shipping it to Asian markets. And from a longer-term, medium- and longer-term perspective, LNG has to compete on price. It particularly has to compete against coal. And I think prices which are affordable and competitive are important in terms of locking in and underpinning longer-term LNG demand growth over time.
Andrew Orekar: I would just add to that, Chris, that it seems like a very long time ago, but very low gas prices in Asia in 2016 really entrenched a lot of the demand that you're seeing that's taking place in '17, '18, and even in the first quarter here. So like the saying goes, often the best cure for the low commodity price, is low commodity price. And we think we're seeing that in the demand trends.
Christopher Snyder: I guess just kind of piling up on that, LNG pricing has bounced off the bottom. Is this an indication that we're kind of seeing maybe a fresh round of inventory building, and maybe some of the built-up inventories in Q4 kind of maybe have returned to a normalized level?
Alastair Maxwell: I think we have. I think we have gone through the overhang. That's very clear. And I think we are in a shoulder period that happens every year in that sort of March-April time period. And I think we're now moving into that period when people just are starting to think about Southern Hemisphere winter, and we've seen a number of tenders coming out of Argentina, for example, recently, despite growing indigenous production of shale gas. And we're seeing the first signs of demand cooling load in the Northern Hemisphere somewhat. So I think that we have gone through the overhang that we saw at the end of the Northern Hemisphere winter.
Christopher Snyder: And then this next one, this might be more applicable for the broader GasLog platform. But Cool Pool performance, I think the Shanghai maybe did around 40,000 in Q1. It's lagged both headline spot rates and the time charter market over the last year. Do you attribute this to just a difficult backdrop for spot performance of late, or has the performance changed how you think about the spot versus term allocation of maybe the broader GasLog fleet?
Alastair Maxwell: So we've given guidance in the past. Paul Wogan's given guidance around what we call the capture rate, which is the amount of headline spot rate that convert into, if you like, the TC earnings, the ships that are trading in the spot market as opposed to any ship, not just to the Cool Pool ships. And you have to be slightly careful with headline rates, particularly in what we saw in fourth quarter of last year and spilled over into January of this year, which is very few ships were actually fixed other than for single voyages. Those very high spot-rate levels. And so when you look at the average headline spot rates in Q4, the capture rate that we talked about which is sort of 70%, 80%-plus of average headline rates, that's pretty much what we delivered. If you look at average spot rates in the first quarter of this year, I think we're roughly $60,000 per day. We always talked about that being sort of 50%, 60% capture rate when you have average spot rates, headline rates, at that level. And that's broadly what the Shanghai did. So I think actually the trading performance and the capture rate has been pretty consistent with the guidance we've given in the past.
Christopher Snyder: Yes, I mean, the comment wasn't kind of specific to the Cool Pool. It's just the fact that like, we've had a pretty -- I mean, over the last Q4 and Q1 it's been a pretty, I'd say, tight spot market on average. And to see spot performance, we did 100 in Q4 and 40 in Q1, it's like a little below mid-cycle in what was a pretty decent spot market. I just didn't know how you'd think about that in terms of, maybe you could get a similar rate on the term market and not kind of have to worry about all that.
Andrew Orekar: I think that's our objective, certainly at the MLP, recognizing that the term market probably means you don't pick the exact high and low out of the spot market, but giving that visibility to our investors is a priority. And so we expect to be able to define that kind of business in a stronger backdrop. Obviously as rates are coming down it's not the best time to be trying to negotiate that type of deal. But as we mentioned, we expect them to recover, and recover strongly here in the second half of the year.
Operator: Our next question is from Fotis Giannakoulis from Morgan Stanley.
Fotis Giannakoulis: Alastair, I want to ask you about the structure of the market. How do you view it developing? Do you know also the [indiscernible] number of SPAs and contracts that they are linked to several hubs instead of being a fixed cost? And the market is on the commodity side, is becoming more spot incrementally. How does this impact your ability to be able to secure long-term contracts and the model of the MLP?
Alastair Maxwell: So I think it is true that the market is becoming, is maturing and is becoming more sophisticated. And I think that it's healthy for the gas market and the LNG market over time that we should move away from really solely having oil indexation as a pricing benchmark. I think that gas supply and demand and pricing mechanisms and clearing, market clearing mechanisms, that are particular to the gas market is healthy and I think will encourage efficient allocation of resources and enable people to do what they -- what they increasingly are trying to do, which is to maximize the value of the resources they have and maximize the value of each cargo that they ship. And I think all of that is good for gas demand over the long term. And you know, as demand increases and supply increases, the demand for shipping increases over time. And I'm not sure that the indexation of gas to different pricing benchmarks as you referenced, and I'm not sure that the market becoming more short-term in terms of how it trades, I'm not sure that necessarily translates into people having -- taking a different view of shipping demand. If they have shipping requirements because they have portfolio commitments, either supply or offtake, I don't think we see any sign of that resulting in a lower willingness to commit to term for shipping. In fact, I think the data that we talked about in the presentation tells you the opposite, that as the market is tightening people are more and more willing to sign up to charters, sort of 6 months to 3 years in that time period for on-the-water vessels. And we certainly see no impact on the new build market. In fact, if anything, we're having more and more conversations with customers that are along the lines of the charters that we signed with Endesa and with Jera, which is a longer term for new build vessels.
Andrew Orekar: And Fotis, I would just add that if you look at some of the customers that have been added to the term shipping market in the past few years, we have multiple, multi-year deals with Trafigura for on-the-water ships. We have seen Trafigura and Vitol take new buildings on 5 to 10 years. And there's discussions with other traders around term shipping. So don't disagree that there's more and more molecules of LNG moving on a spot basis, but the shipping dynamic and frequency of term contracting hasn't declined. And if anything there's a greater number of customers who want that type of risk managed for them including Cheniere, who's clearly had so much success on marketing their own volumes as well as selling FOB. So I think term contracts in shipping I think are going to be here for quite some time.
Fotis Giannakoulis: One more clarification about your guidance. Based on the increase of your distribution in the fourth quarter, your annualized number is already 3.5% higher than last year's distribution. But you mentioned, though, that you are going to do one more distribution using debt, or you are -- you have the ability to do one more distribution using debt. Does this mean that this extra dropdown that you are going to do through debt will not lead to an increase of your current distribution, and then is going to go more to support the cash flow?
Andrew Orekar: Yes. I think it's hard to say at the moment. If we get another dropdown today at the yield and unit price that we're at, I don't see why we would grow the distribution any more than 2% because clearly we're not getting credit for the growth we're delivering. I do think that as the year plays out and we continue to execute, I happen to believe that we'll have a much more appropriate value in the units so we could certainly consider more growth in that 2% to 4% range. But at the moment, I think we'd be happy to sit at 2%, deliver more coverage, and buy back stock in the interim.
Fotis Giannakoulis: One last question, if you can give us some guidance -- I think Alastair mentioned that you have inbound offers for debt capital, that is going to be at quite competitive terms. And I assume unsecured debt. Can you give us a range of the cost of this capital?
Alastair Maxwell: Yes. I think I wouldn't rule out any of, Fotis, the secured bank markets and a great example of that is the 450 refinancing with the incremental RCF capacity that came with that financing. I wouldn't rule out the public fund markets both in the U.S. and in Norway in particular. And I wouldn't rule out, either, the private capital markets, particularly for things like convertible preferreds. And we've seen a number of companies, MLPs, who have accessed the private convertible preferred markets with great success and on great terms. In terms of cost, perhaps a good reference point for you is where the GasLog Limited bonds are trading today. We have both dollars in the U.S. bond market and in the not-bond market, and they're both trading in the high 7s today.
Operator: Our next question is from Marc Solecitto from Barclays.
Marc Solecitto: Andy, you mentioned earlier that you received inquiries for some of your steam ships. Just curious how the rates associated with those inquiries compare to the rates on the one-year charter agreement that you announced last year on one of the [indiscernible] and Victoria. The TFD term market appears to have improved since that time last year, but just trying to get a sense of whether you've seen evidence of that translating to the steam market?
Andrew Orekar: Sure. So you're spot-on, Marc. Those deals done, were done in certainly a very different market environment than the one we expect to be in shortly. And so while all our rates of course are confidential, we would expect to be able to, in a stronger market, re-charter our ships at superior rates to what we achieved last -- well, I guess it was over about a year-and-change ago. So you know, it's difficult to say because it's obviously early days, but I think something below their current charter rates is probably fair for new term business. But we would hope to do better than what we achieved last March.
Operator: At this time I am showing no further questions. I would like to turn the call back over to Andy Orekar for closing remarks.
Andrew Orekar: Thanks, operator. Thank you to everyone today for listening and your continued interest in GasLog Partners. We certainly appreciate it and we look forward to speaking to all of you next quarter. Thank you very much.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect.